Operator: Thank you for standing by. My name is Karen, and I will be your conference operator today. At this time, I would like to welcome everyone to the Oklo Inc. Fourth Quarter 2024 financial results and business update call. All lines have been placed on mute to prevent any background noise. After today's presentation, there will be an opportunity to ask questions. To ask a question, you may press star followed by the number one on your telephone keypad. To withdraw your question, you may press star followed by the number one again. I'll now turn the call over to Sam Doane, director of investor relations. Please go ahead.
Sam Doane: Thank you, operator, and good day, everyone, and welcome to Oklo Inc.'s fourth quarter and annual company update and earnings call. Joining me today are Jake DeWitte, Oklo Inc.'s co-founder and chief executive officer, and Craig Bealmear, Oklo Inc.'s chief financial officer. Earlier today, after the market closed, we announced our fourth quarter and full year 2024 earnings. You can find our shareholder letter and supplemental slides on the investor relations page of our website. Before we begin, I'd like to remind everyone that our discussion today, including our remarks and the Q&A session, will include forward-looking statements. These statements reflect our current views on trends, assumptions, risks, uncertainties, and other factors that could cause actual results to differ materially from what we discussed today. We encourage you to review the forward-looking statements language in our shareholder letter and supplemental slides for additional context. You can also find the discussion of relevant risk factors in our most recent SEC filings. Oklo Inc. assumes no obligation to update these statements as a result of new information, future events, or otherwise, except as required by law. With that, I'll now turn the call over to Jake DeWitte, Oklo Inc.'s co-founder and chief executive officer. Jake?
Jake DeWitte: Thanks, Sam, and thank you all for joining us today. We're excited to share our quarterly and full-year update and provide insights into Oklo Inc.'s progress over the past twelve months. Oklo Inc. was founded on the belief that there are significant opportunities for advanced nuclear technology. We saw an industry that had stagnated and recognized the need to rethink how new nuclear technologies could be brought to market. We started Oklo Inc. to seize this opportunity and fulfill our mission to deliver clean, reliable, and affordable energy on a global scale. The momentum behind nuclear energy has never been stronger. The new administration has made it clear that nuclear power is a cornerstone of America's energy future, with direct policy actions and public endorsements supporting its expansion. Key voices in government and industry are reinforcing the need for advanced nuclear deployment. Energy Secretary and former Oklo Inc. board member Chris Wright stated that the long-awaited American nuclear renaissance must launch now. He said, we're at the start of Manhattan Project two. It is critical, just like Manhattan Project one, that the United States wins this race. He has emphasized the administration's commitment through financial and regulatory support to enable rapid deployment and commercialization of next-generation nuclear technology. Additionally, President Trump has recently highlighted the advantages of small, scalable nuclear plants. These statements reflect a growing consensus that nuclear is essential for energy abundance and small advanced nuclear reactors provide a practical, cost-effective path forward. The demand for power is growing at an unprecedented rate. While AI-driven data centers are a major contributor, they are not the only source of this growth. This slide shows other sectors, residential, transportation, commercial, and industrial, are also driving sustained energy needs. Total US power demand is projected to grow greater than 160% through 2030, with data centers contributing approximately 31% of this increase. We've demonstrated that Oklo Inc. is uniquely positioned to take advantage of this staggering potential growth. Our build, own, operate model and small scalable powerhouse designs are well suited for a broad range of applications, ensuring we can meet growing energy needs across multiple sectors. At Oklo Inc., our strategy is built on three core pillars that we believe will fundamentally transform how nuclear power is delivered to our customers. First is our business model. We've designed a model that simplifies the process for customers to purchase clean power at scale, eliminating traditional complexities and points of friction. Second is our reactor size. Our small, scalable reactors allow us to achieve greater efficiency while meeting customer demand incrementally. This approach not only optimizes our financial performance by creating a recurring revenue model, but also delivers resilient and redundant power solutions ensuring operational reliability. Finally, our technology sets us apart by utilizing technology backed by centuries of cumulative reactor operation experience. Our use of the plutonium coolant provides significant economic and operational advantages. This technology underpins our ability to deploy advanced new phase solutions that are both efficient and cost-effective. 2024 was a transformative year for Oklo Inc., marked by major commercial, technological, and regulatory milestones. We started the year with a 500-megawatt partnership with Equinix, one of the largest colocation data center companies in the world, supported by a $25 million investment through the form of a prepayment. This really kicked off the partnership wave between nuclear technology companies and the AI data center companies. Building on this momentum, we signed a letter of intent with Diamondback Energy for 50 megawatts, demonstrating an emerging demand for nuclear energy in the oil and gas sector as companies seek long-term sustainable energy solutions to electrify their operations. We also expanded our presence in the data center space, sending a letter of intent with Prometheus HyperScale to deliver 100 megawatts of clean power to generation AI infrastructure. We ended the year by signing what is potentially the largest corporate clean power agreement ever with Switch for 12 gigawatts of power. To put the magnitude of this agreement into perspective, that is equivalent to approximately 1% of the US grid. This is a massive opportunity for us, not just because of the size of the power need, but for the multipronged partnership with Switch to work together to bring nuclear to market at scale. One highlight to me of this partnership is that building data centers had significant similarities to building small reactors. If you think about data centers, they are fixed civil assets into which prefabricated and manufactured components and systems are installed, and electrical and cooling systems are tied together to move power and heat through the system. This has similarities to building small reactors: fixed civil facilities into which prefabricated and manufactured components are installed, electrical and cooling systems are integrated and tied together. Working with Switch's expertise here will likely be accelerated to us, and we are excited about how this will progress. In May 2024, we went public on a New York Exchange under the ticker OKLO, a defining step in our growth. Beyond our commercial success, we made major progress in our regulatory strategy and in building our nuclear technology platform. Our Idaho National Lab or INL powerhouse project remains on track to be the first commercial small nuclear reactor built in the US, with key DOE approvals and an environmental compliance permit secured.
Operator: We also advanced our Aurora fuel fabrication facility
Jake DeWitte: receiving DOE approval for its safety design strategy to produce advanced reactor fuel domestically. Oklo Inc. was the only advanced nuclear company with high assay low enriched uranium, also known as HALEU, fuel secured for its first deployment. A significant competitive advantage ensures we can move forward without fuel supply chain delays. We also successfully demonstrated our end-to-end fuel recycling process, proving our ability to close a nuclear fuel cycle and leverage both fresh and recycled fuel for long-term sustainability and growth. As we continue to execute on strategy, we remain committed to keeping the market informed with clear and consistent updates on our progress. Our company updates are structured around six key focus areas: project execution, reactor licensing progress, fuel fabrication and recycling, customer pipeline development, strategic partnerships for corporate and business development, and financial updates. The last quarter was marked by major commercial, regulatory, and technology milestones that drive us toward commercialization. To meet increasing customer demand, we expanded our powerhouse offering to support up to 75 megawatts of power output, building on the same design architecture of the 50-megawatt powerhouse to deliver more power without changing our reactor design footprint or regulatory framework. The scalable platform strengthens our ability to serve energy-intensive industries efficiently. On the regulatory front, we continue to advance key approvals with the NRC and DOE, ensuring steady progress towards deployment. We are working with the NRC through a pre-application readiness assessment for our Aurora powerhouse combined license application at Idaho National Laboratory. Commercially, we signed a landmark 12-gigawatt master power agreement with Switch, underscoring the growing demand for reliable carbon-free baseload power and positioning Oklo Inc. at the forefront of the energy transition. We're also strengthening our capabilities through strategic partnerships. Our agreement with Our Power provides near-term natural gas solutions as a bridge to nuclear, offering customers flexible energy options that can accelerate time frames. Additionally, our MOU with Lightbridge explores co-locating commercial fuel fabrication and recycling, reinforcing our long-term fuel strategy. Beyond power generation, we've expanded into the high-value radio market with the completion of our Atomic Alchemy acquisition. We continue to make progress towards near-term radioisotope opportunities and in the regulatory pre-application work to deploy their VIPER reactor. We're also driving next-generation materials innovation through collaborations with the DOE and Oak Ridge National Laboratory. With strong financial positioning, scalable technology, and growing customer demand, we enter 2025 with clear momentum, accelerating toward deployment and cementing Oklo Inc. as a leader in the advanced nuclear space. Over the years, we've made significant progress in refining our powerhouse platform. We initially developed both 15-megawatt and 50-megawatt designs and consolidated our approach around a 50-megawatt architecture. This allowed us to scale power output efficiently by simply adjusting things like fuel load and heat exchangers. With this approach, we can flexibly deliver between 15 megawatts and 75 megawatts from the same design platform, adapting to different customer needs while maintaining a streamlined supply chain and regulatory approach. The decision to scale up to 75 megawatts was driven by demand characteristics from large energy users, particularly data centers. This power range aligns well with the infrastructure of these customers, including at the data hall level. It reduces the number of reactors needed to support gigawatt-scale projects. We anticipate the majority of our plants will operate in the 60 to 75-megawatt range. Importantly, this update does not introduce new technical or regulatory design risk. We're leveraging the same core technology, optimizing it to deliver more power while maintaining the benefits of a compact, repeatable system. By focusing on design, flexibility, scalability, and cost efficiency, Oklo Inc. continues to provide innovative and capital-efficient nuclear power solutions for the evolving needs of our customers. Oklo Inc. continues to make steady progress on the first commercial Aurora Powerhouse at the Idaho National Laboratory or INL.
Operator: We are actively engaging with the US Nuclear Regulatory Commission through
Jake DeWitte: a pre-application readiness assessment for our Aurora POWERHOUSE combined license application at Idaho National Laboratory. This process enables NRC staff to review and familiarize themselves with Oklo Inc.'s licensing materials ahead of the formal application submission, streamlining regulatory review, and positioning us for an efficient approval process. We have submitted our licensed operator topical report, a key step in enabling our fleet-based licensing approach. This approach lowers costs, accelerates deployment, and enhances operational efficiency. Beyond licensing, we have begun drilling, testing, and site characterization efforts at INL, critical steps toward construction. Backed by a DOE site use permit, the project remains on track for deployment in late 2027 to early 2028. At Oklo Inc., our business model and licensing strategy provide a more streamlined regulatory pathway compared to conventional nuclear approaches. Rather than pursuing separate construction and operating licenses, or obtaining a design certification or DC, which is not a license or permit, to then later license out to customers who then have to obtain the actual commercial permits and/or licenses, we take a direct path by securing a combined license or COL. This single-step approval allows us to build and operate without additional regulatory hurdles. Unlike the DC process, which requires multiple and separate NRC reviews, and unlike the part 50 approach, which requires separate NRC reviews and approvals for construction and operation, the COL includes all key NRC-specific reviews upfront. This integrated approach eliminates duplicative reviews and accelerates deployment. Ultimately, only after completing these regulatory steps can a company be OpCo's approach ensures that we reach those milestones faster and with greater certainty. As I just alluded to, what sets Oklo Inc. apart is our direct-to-COL approach. We secure a combined license in one streamlined process. Others in the industry pursue design certification or construction permits first, requiring separate construction and operating approvals later. We believe this makes our approach faster, more efficient, and more aligned with deployment. Because we build, own, and operate our powerhouses rather than selling designs or licenses, streamlining regulatory approval under a single process makes strategic sense. Securing our first COL will also serve as a reference license for our COL, allowing future applications and SCOL to focus only on site-specific differences, greatly reducing approval timelines. By minimizing those differences, we can gain faster regulatory approvals for each additional plant, enabling rapid scaling. This approach not only simplifies licensing but strengthens our ability to bring advanced nuclear power to market faster and more efficiently than traditional models. Our path with INL paves the way for future sites through subsequent combined licenses, reducing review timelines under the Advance Act and accelerating deployment at scale. Oklo Inc.'s licensing strategy is not just about getting approval; it's about getting to multiple powerhouse deployments, operation, and revenue generation faster than conventional approaches. At Oklo Inc., we have built deep expertise in working with both the NRC and DOE, making significant regulatory progress as we move toward deploying our first commercial Aurora powerhouse. We completed key pre-application work with the NRC, including safety analysis, operational programs, and environmental findings. Additionally, we submitted fleet-based license operators and staffing methodology topical reports, important milestones that enable a standardized fleet-wide staffing model. Unlike traditional nuclear plants, which require site-specific operator licensing, our approach improves efficiency, reduces costs, and accelerates deployment. Alongside our energy progress, we are working closely with the DOE since our first commercial powerhouse will be deployed at the Idaho National Lab. We finalized the memorandum agreement with DOE, granting Oklo Inc. access to begin critical site investigations, a major step that allows us to conduct essential groundwork to prepare for construction. With this approval, we have begun site characterization activities, including drilling to study soil and rock conditions. Looking ahead, we are advancing the quality assurance program description for design, construction, and operations, which is currently in progress. These milestones reinforce Oklo Inc.'s strong regulatory momentum and clear path to deployment. Each step moves us closer to our goal of delivering advanced nuclear power through a streamlined, efficient regulatory approach. Additionally, the NRC is actively advancing the implementation of the Advance Act, which is modernizing the regulatory landscape for Advanced Nuclear. A key component of this effort is a significant reduction in licensing fees, making regulatory processes more accessible and cost-effective for advanced reactor developers. The NRC has proposed cutting the hourly rate by nearly 55% for advanced reactor applicants. This change, set to take effect on October 1, 2025, directly lowers the financial burden of licensing. Securing fuel is a critical priority for Oklo Inc., and we continue to make strong progress. We have successfully secured fuel for our first core load at INL through a competitive process and are expanding access for future deployments. Our MOU with Centrus establishes a long-term Halo supply, ensuring a scalable domestic source. It is important to highlight that Centrus is already producing Halo today and continues to scale their production. Beyond securing fuel, we are also collaborating with Lightbridge, who's developing next-generation light water reactor fuels. We are exploring opportunities where Lightbridge could manufacture their fuel at our fuel fabrication facility, given we are both fabricating the pallet fuel forms. Furthermore, we are working together on our recycling activities and evaluating the benefits of recycling used Lightbridge fuel into our reactors. With that, I'll turn it over to Craig for customer development, atomic alchemy, and financial update.
Craig Bealmear: Thank you, Jake. Oklo Inc.'s powerhouses are purpose-built to meet the growing energy needs of numerous customer segments, including AI data centers. As Jake has already highlighted, our 50-megawatt design now offers the flexibility to deliver up to 75 megawatts of power, demonstrating our modular power offering can scale with customer demand, enabling Oklo Inc. to meet higher customer capacity with fewer deployments. We expect Oklo Inc. Powerhouses to have construction timelines of 18 months, providing a very competitive time-to-market option for nuclear reactors. And our cost-oriented design and engineering provide customers with competitive pricing. Oklo Inc. is capable of providing data centers with high reliability through the development of redundant powerhouse facilities and can deploy multiple powerhouse facilities to a single site that matches the phased deployment approach of data center campuses. Finally, Oklo Inc.'s small land footprint enables the company to pursue a colocation model that provides customers with greater site flexibility than competing alternatives. Moving to our next slide, I would like to highlight two product features that are really resonating with data center customers: phased deployment and reliability. The first product feature that our large customers like about Oklo Inc.'s powerhouse approach is the ability to build and deploy multiple small powerhouses in parallel rather than relying on a single large-scale plant with long lead times. This phased and modular expansion capability allows us to better align with specific customer timelines and capacity returns. Our data center customers absolutely love the safe scaling capabilities of multiple reactor projects. Moving to the next slide, I will talk about the second product feature that resonates with our data center customers, which is our ability to build in redundant powerhouses to achieve greater than 99% reliability. Reliability is critical for AI-driven data centers, which operate 24/7 and require constant, uninterrupted power. Even brief outages can result in significant data loss, service disruptions, and financial consequences. Unlike large-scale reactors that can experience complete shutdowns for maintenance, our modular powerhouses are designed so that routine or even unexpected maintenance on one unit does not impact overall system performance when there are more than one facility built on-site. This built-in redundancy can enable behind-the-meter operations as well as reducing the size of the customer's interconnect with the grid. I would now like to talk about our relationship with Switch. Our product market fit with the data center industry continues to be validated through major customer announcements. In December 2024, Oklo Inc. announced it had secured one of the largest corporate power agreements in history, a 12-gigawatt master power agreement with Switch, to be deployed through 2044. For context, this is equivalent to 1% of the US grid capacity. Switch is a leader in designing, building, and operating cutting-edge modular and scalable data centers. Their facilities support the most demanding AI, cloud, and enterprise clients, requiring reliable and sustainable power solutions. Switch has been a leader in clean power procurement and believes nuclear is critical to the future of AI data center development and operation. This agreement is an example of putting a master partnership agreement in place and is the result of extensive collaboration to understand Switch's needs and tailor a solution that ensures long-term energy reliability. It underscores Oklo Inc.'s role in powering next-generation data infrastructure while establishing a significant long-term revenue stream. The August delivery of this partnership lays the foundation for broader collaboration, aligning Oklo Inc.'s investment strategy, government and public affairs efforts, and supply chain optimization efforts to support large-scale deployment with a strategic customer. We often get asked why Oklo Inc. hasn't signed our purchase agreements or PPAs. The answer is that Oklo Inc. is taking a measured approach to reduce risk to the company and get the most attractive terms for the company and our investors. We are looking to implement a comprehensive risk-mitigated strategy for customer acquisition and project execution. On the previous slide, I talked about the master power agreement or MPA that we have in place with Switch. Today, we are signing MPAs with customers that establish a framework for the overall partnership. Once a master power agreement is established, we use it as a platform for multiple partnership elements, which include power sales, corporate and asset investment, supply chain optimization, and public relations and permitting. The master agreement also establishes the starting point for PPA negotiations. MPAs start to define potential target sites or regions, total and phased power delivery, timing of capacity additions, and a pricing range. With this framework established, Oklo Inc. can begin site feasibility analysis with customers and start specific PPA negotiations. In addition, the structure lives and iterates as the market evolves. And it's not limited to customers. We are applying this structure with parties across our value chain, from fuel supply to component manufacturing, creating a repeatable and scalable model for asset deployment. That should enable Oklo Inc. to move quickly while maintaining capital efficiency. As a result of our efforts over the last 18 months, Oklo Inc.'s customer pipeline has expanded significantly, driven primarily by growing data center demand. We signed agreements across key customer segments, with demand shifting towards our 75-megawatt powerhouse offer to meet large-scale AI-powered needs. Our pipeline has grown from 700 megawatts at the announcement of our business combination with Alt C to over 14 gigawatts today, supported by major customers like Equinix, Prometheus, Switch, and Diamondback Energy. As demand accelerates, we continue to advance discussions with additional customers to further expand our pipeline. I'd now like to talk about our partnership with Our Power. Oklo Inc. and Our Power are partnering to bridge the gap between today's power needs and the transition to advanced nuclear. This phased model ensures data centers secure reliable power now while seamlessly moving towards a clean, long-term energy solution. The approach has three phases. Phase one, immediate power deployment. Our Power's natural gas generators should be in a position to be deployed within 24 months to meet urgent demand opportunities. Phase two, transition to advanced nuclear. As Oklo Inc.'s Aurora powerhouses come online, they will integrate into these sites, delivering new clean baseload power. Phase three, long-term energy resilience. Over time, Aurora Powerhouses will become the primary energy source, with Our Power generators shifting to an auxiliary power delivery role. This enhances grid stability, allowing Our Power to act as a good grid citizen with Oklo Inc., supplying surplus power when needed. This approach meets urgent power needs today while enabling a clean, scalable, energy future. We have successfully closed the $25 million acquisition of Atomic Alchemy. This transaction marks Oklo Inc.'s strategic expansion into the high-growth radioisotope market. We view this as an extremely attractive bolt-on acquisition that enhances Oklo Inc.'s nuclear technology platform and diversifies our customer base to include critical industries such as space, defense, industrial applications, medical diagnostics, and semiconductor manufacturing. This acquisition is not expected to have material near-term operating cost increases for Oklo Inc., and does have the potential to accelerate revenues to the company through the sale of radioisotopes. This transaction was primarily funded via stock and represented less than 1% of dilution to Oklo Inc. shareholders. Additionally, shares issued to the Atomic Alchemy founders are subject to multi-year reinvesting to drive strong long-term alignment. The next slide focuses on some acquisition highlights. Atomic Alchemy will enhance Oklo Inc.'s technology portfolio and serve as a standalone radioisotope business with significant market potential. Acquisition highlights include the following. Massive market demand, limited supply. The radioisotope market is projected to exceed $55 billion by 2026, with applications spanning medical imaging, cancer therapies, space and defense, and next-generation semiconductor manufacturing. Meanwhile, aging facilities are struggling to keep up with demand, creating a critical supply gap. Benefits to Oklo Inc.'s energy and fuel business. Collecting high-value radioisotopes from recycling co-products enhances the economics of fuel recycling. Third, growth opportunities. We are already exploring joint ventures with customers in radiopharmaceuticals and advanced silicon doping semiconductor manufacturing, positioning Oklo Inc. for long-term success in high-growth industries. Fourth and finally, revenue and milestone acceleration. Radioisotopes are among the most valuable materials on earth. Take actinium-225, for example, which sells for $400 per nanogram or an astonishing $400 billion per gram. With our recent acquisition of Atomic Alchemy, we are positioning Oklo Inc. to capitalize on this high-margin market. Our radioisotope demonstration project is already underway, and we could begin generating revenue as early as the first quarter of 2026, unlocking significant near-term value for our business. This acquisition is a true force multiplier, accelerating our entry into the radioisotope sector. We are excited about the opportunities ahead and confident in the value this can create for our shareholders. I'd now like to talk about recent board appointments. With Chris Wright's confirmation as the new US Secretary of Energy, Oklo Inc. needed to fill an open board seat. In doing so, we took the opportunity to strengthen our board by adding not just one, but two exceptional leaders: Daniel Poneman and Michael Thompson. Daniel Poneman brings decades of experience in nuclear energy and national security. Most recently, he served as president and chief executive officer of Centrus Energy, leading the company to profitability and deploying the first US-based technology uranium enrichment facility since 1954. Before that, Dan was deputy secretary of energy, overseeing energy technology and nuclear security and playing a critical role in international nuclear negotiations and US energy security policy. Michael Thompson has significant experience in capital markets and technology investments. As managing partner at Reinvent Capital, he has worked with some of the most innovative technology companies. Previously, he founded and led EHR Capital, a New York-based hedge fund, and has served as an investor and board advisor across multiple high-growth sectors. With these additions, Oklo Inc.'s board is well-positioned to guide the company through its next phase of growth, ensuring strong governance as we execute on our strategy to deliver advanced nuclear power. I'll now provide a summary of our financials. Oklo Inc.'s full-year operating loss was $52.8 billion. This included a one-time fair market value expense of $7.8 million related to earn-out shares payable to Oklo Inc. staff who held us to the option at the time of SPAC closing, as well as $4.7 million of non-cash stock-based compensation expense. When adjusting for these non-cash amounts that were not included in our original 2024 budget, you get to $40.3 million, which is at the low end of our forecasted range of $40 to $50 million. In preparing our year-end consolidated financials, Oklo Inc. made two changes related to the accounting presentation associated with our business combination with Altsea that occurred in the second quarter of 2024. First, management received additional guidance that led us to reduce the fair market value of our safe notes at the closure by $2.1 million, improving our full-year net loss to $73.6 million. Second, we were directed that the tabular presentation of the deemed dividend on our quarterly income statement for earn-out and founder shares was not required, but this was already covered in the accompanying footnotes. We elected to reflect this as a material weakness in section 90, other information, in our 10-K for 2024, in the area of infrequent and complex accounting. It should be noted that these changes come from our business combination transaction that closed in the second quarter and actually result in improvement to our financial statements by minimizing our net loss attributable to common stockholders, from a loss of $563 million to a loss of $73.6 million. We are working to address this material weakness and expect to have it remediated by year-end. Oklo Inc.'s full-year cash used in operating activities was $38.4 million. This balance is derived from a net loss of $73.6 million, partially offset by $40.4 million in non-cash impacts. These non-cash impacts included $27.9 million in fair market value charges associated with the previously converted statements, as well as non-cash stock-based compensation charges of $12.5 million. Finally, at the end of the year, cash and marketable securities were at $275.3 million, primarily driven by the $276 million in proceeds net of fees received at the closing of our business combination. This cash balance generated approximately $7.7 million in interest income in 2024. Looking forward to 2025, we expect the cash used in operations
Jake DeWitte: to
Craig Bealmear: to be in the range of $65 million to $80 million. This year-on-year growth from 2024 is driven by increases in headcount, initiation of procurement activities in support of our first powerhouse at the Idaho National Labs, license application fees, progressing activities in support of fuel recycling, and a small increase resulting from our recently acquired Atomic Alchemy business. To close, we believe there are six factors that make Oklo Inc. such a compelling investment proposition. First, technology and size that are based on proven fast reactor technologies that we look to deploy at scale to reduce complexity, cost, and time delivery. Second, an attractive business model that is customer-oriented and enables recurring revenue and profits. Third, superior economics that can deliver power at competitive cost. Fourth, a diverse and growing customer base with interest across multiple market sectors. Fifth, a streamlined approach to regulatory approval underpinned by our combined license application process that leverages years of experience in our work with the NRC. And finally, a well-capitalized balance sheet that positions us well for the implementation of our business strategy. With that, I would like to thank you for your time. Jake and I will now open up the call for questions. Thank you.
Operator: The first question comes from Ryan Pfingst from B. Riley. Your line is open.
Ryan Pfingst: Hey, guys. Thanks for taking my questions. First, was the decision to go from 50 megawatts to 75 driven by customers you already have in your pipeline or potential customers you're talking to today? And do you see obvious benefits for your economics with the greater output?
Craig Bealmear: Yes.
Jake DeWitte: Thanks, Ryan. So a lot of it is built off of what we're seeing in the market come together from the customer interest set that we see sort of the data center architectures progressing. There's a sweet spot that kinda lives between 50 and 75, and probably more of it, really, between 60 and 72, probably more specifically. But in that range, that's really well targeted at our side. Like, basically, being at that size matches really well where we see kind of that range existing. So it made sense given that we have some latent extra capacity just through the design process for margin to be able to go up that high and provide that flexibility and do that now rather than kind of, you know, sort of strip like, basically keep the system more say, you know, I'm targeted at 50 and limits on the upside. So we just kinda unlock that in there and focus on making sure we can get up all that all the way to that number. So pretty much a customer-informed design, you know, kind of, I would say, decision if that makes sense. Just to be a little more specific, you might you know, people talk about gigawatt-scale data centers, and that's awesome and exciting to see how that's gonna come together. But many of the actual buildings that make up a campus because it's really gonna be a campus that makes up a gigawatt scale, these kind of buildings, structures are smaller than that, and then sort of sub-unit or if you will in those actual, like, data center buildings by themselves is really the this kind of data hall architecture as we refer to it. Is really living in that kind of 50 to 75-megawatt range, which is why we decided to go to that. You know, each different customer set has their own design, their own approach, so it does kinda have some range on that. But given kind of the lower relative parts of the CapEx for us, on the plant that's non-fuel related, it gives us a little more flex to accommodate that. And then we just size the core accordingly to make sure we match and live what we need to do between sort of that 15, 75 range. But generally speaking, I think we're gonna see some general convergence, but increasingly moves that number to exist pretty well between that 60 and sort of just basically 75-megawatt number. But it worked pretty, you know, pretty favorably to tie in to what they need at their core IT as well as heating and cooling load that those sizes.
Craig Bealmear: And, Ryan, it's Craig. There will be some, you know, absolute economic benefits as well because just, you know, on the surface, if we have a customer who wants 150 megawatts of power delivered, it now moves back from three powerhouses at 50 to two powerhouses at 75. And so there'll be some economies that's going there.
Ryan Pfingst: Got it. I appreciate that detail. And I'll stick to the customer side. Now that you have a pipeline of 14 gigawatts, do other potential customers see that and think, you know, Oklo Inc. is pretty full. I better seek out, you know, power elsewhere, or are your discussions progressing at the same pace following your announcement of the Switch agreement?
Jake DeWitte: Yeah. I think it's I mean, generally speaking, I think it actually in some ways kind of accelerates for some because now it's like, oh, shoot. Like, you know, we wanna don't wanna miss out on this. We don't wanna lose out on this. But, you know, our kind of dynamic with customers and our engagement, as Craig talked about, is iterative based on, you know, what makes the most sense to engage folks when it you know, and when and how and kind of bringing a little bit more to the table accordingly. And so at the end of the day, I think there's a bit of scarcity effect that is existing now, and I imagine will probably increase and generally speaking, that's gonna be pretty positive to us. But, you know, then accordingly, we'll kind of see how that unfolds as things progress in terms of what there might be an effect on some folks being like, oh, that's pretty you know, but Oklo Inc. might be pretty pulled up. But I think what we see is more folks being like, okay. We wanna get in to try to figure out how to work with you guys and also what can we do to help expand that bandwidth and capacity so there's you know, you can do more. And I think that's a little bit of a more begets more here. And that's really how we're trying to, like, structure, you know, how and who we work with.
Operator: The next question comes from Jeffrey Campbell from Seaport Research. Your line is open.
Jeffrey Campbell: Good afternoon, and congratulations on a pretty strong year. Jake, regarding the increased range of the PowerHouse to 50 to 75 megawatts, does this require any kind of change in your total license approach or is it already covered or what kind of effect is there, I think?
Jake DeWitte: Yeah. And really try to keep it so that it's a pretty minimal effect. In general, like, everything we're doing to support kinda going to the 50 yes, basically, is accommodating to this. There are, of course, a few things that we need to be mindful of. But in general, like, all the infrastructure and everything we have and all the design and analysis work, all those kind of things accommodate this pretty well. And if you think about what this is really doing is this is giving us a platform that allows us to go between 15 and 75. That's pretty unconventional in nuclear because people, again, typically think of very fixed heavy CapEx of the plant dominating the cost profile, so you wanna maximize the power output. Because of the benefits of, you know, what we've been saying before to you, and kind of our design approach, you actually have a little more flex on that side. And you become more, you know, a little bit more sensitive and driven by the fuel side relatively speaking. And that can give you some more room then to say, okay. If I need to be at 50, the number I'll be at. If I need to be at 75, here's the number I'll be at because of, you know, less fuel and more fuel, respectively. And that gives you that flexibility then to match customer demand and from the economic side. Craig said, of course, there is some benefits on the 75. Just because you kinda get a scaling benefit on, you know, fuel efficiency getting a little bit bigger. But at the end of the day, all of these sizes kinda keep us inside of a nice realm where the work we're doing on the licensing side carries over. That's also a reason why staying at this size range is important for us. You know, if you do get much bigger here, you can do start to tip into a world where some of the a lot like, you'll start needing to do more things that kind of go outside of the envelope of what we've been doing on the regulatory front to date. So it's very intentional to be mindful about those considerations and works out pretty well, but, you know, we're in this kinda sweet spot in the market right now.
Jeffrey Campbell: And, Jeff, we came into the slides pretty quickly, but if you go back to slide ten, it does talk about no new technical or design risk to achieve a larger power output. Which is pretty important. Okay. Great. And I'll stick with one more regulatory question. Can you describe broadly what the readiness assessment entails and does it derisk your actual COLA application? To to extend?
Jake DeWitte: Yeah. I think it's a great question. So how we're approaching, you know, our application on this go is it's kind of a structured submission of a first phase and a second phase where you're putting in sort of this initial work on citing environmental and some other dynamics that were being evaluated there. But ahead of that, we're doing a readiness assessment, which is an optional kind of thing you can do with the NRC. So basically do a prereview. It's something we've intended to do. It was kind of a key takeaway and lesson learned from our prior regulatory experience in leading up to this because it's continual and dynamic to basically make sure we're all sort of working on the same page. It pre converges us. It pre converges the NRC to kinda have a good sufficient review process accordingly. It's been a pretty clear point of benefit based on some recent regulatory actions by the NRC that the readiness assessment is supportive of that. So, yeah, it's a way to derisk both the content and the timeline of the review and position everyone for not just success, but more efficiency as a result. So that's how we're approaching this to lead into that review. Here. So it's pretty exciting stuff for us to come here next week.
Operator: The next question comes from Vikram Bagri from Citi. Your line is open.
Jake DeWitte: Hi. Thanks for taking the question. It's Ted on for Vikram Bagri. Just wanted to follow-up on that. Is there any initial feedback you could share on your discussions with the NRC as you work towards that pre-application readiness assessment? Just in terms of kind of, you know, how many meetings you've been having, what sort of discussions you're having, and then in terms of timing, I think the letter mentioned that you're expecting the COBRA to be submitted this year. Is it planning to do that once certain aspects of the advance site become effective? So should we be expecting that sometime in the fourth quarter?
Jake DeWitte: Yeah. So I mean, the engagement with the NRC is pretty continual. Don't, you know, I don't actually have the latest number in terms of the total tally of meetings we've had, but it's, you know, it's, like, over between, you know, meetings and, you know, report submissions over there, that's over 600. We started working with them back in 2016, and then the number is almost changing. Well, it is changing pretty much by the week. And so but yeah. I mean, basically, you know, what all this work is for is, right, we're developing application content. What that is is really saying, okay. Here's how we're gonna meet the regulatory requirements that are outlined in the code of federal regulation. And then, you know, making sure that that is, you know, the owner should be able to spend some time understanding that and then using that to inform how they're going to do their independent safety analysis and their independent review that they have to do. And so spending some time kinda work through that and then a readiness assessment put them in a position where they had they go through the exercises, be like, okay. Here's what we here's here's the actual sort of approach we need in the review to make sure that everything is in place until then accordingly, is incredibly valuable. So, you know, hitting phase one of that here is gonna be super useful to then move quickly into submitting the application thereafter. One reference point that I think is important here is TerraPower's construction permit work is, you know, they did a readiness assessment and relatively quickly thereafter submitted a construction permit, and there's been recent news with the industry that had a schedule on that review. So you can see why, like, that's a very and that's, you know, it's a very similar technology set to ours. So this is why doing this for Cola is probably even more valuable. And which is why we're doing it. For the rest of your question, yeah. We're targeting submitting the rest of the full cola by the end of the year. The timeline is gonna depend a bit on sort of the other readiness assessment feedback, you know, affect sort of the timing of the phase one submission, but most likely, you know, we I mean, given that the advance act takes effect on October first, it's gonna you know, we're targeting Q4, just because benefits of that are pretty important to be fully scoped under. Got it. That's very helpful. And just in terms of the OpEx outlook, for this year, just just kind of curious, like, what are the main drivers there? How could how how should we be thinking about cash from operations this year relative to last? With that lower hourly fee rate from the NRSA, is that factored into the OpEx outlook as well?
Craig Bealmear: Yeah. So it's Craig. So I gave a range of $65 to $80 million and incorporated in that range is the potential is the upside that we get from the lower NRCP, but those really don't go in effect until October. So that's probably more of a next year impact than a this year impact. You know, in terms of, you know, what are gonna be the uses and of that increase, you know, we can continue to bring on more staff. You know, Jake talked in his portion of the slides around the work we're doing at INL to get the site ready for deployment. We are continuing to advance things on the recycling front and seeing activity scale up there. You know? And I think I said at the last update that we expected Atomic Alchemy to add, you know, circa $3 to $6 million to our overall burn rate. And, you know, and we're still very much within that range post due completion.
Operator: The next question comes from Eric Stine from Craig Hallum. Your line is open.
Eric Stine: Hi, Jake. I'm trying.
Jake DeWitte: Hey.
Eric Stine: Hey. So earlier question, just talking about scarcity values. Your pipeline fills up. Just want to take it a step further. I'm curious, you know, how how is that kind of changed discussions or driven discussions around prepayments such as you've got with Equinix? I mean, is that something that counterparties out there looking at as a way to potentially, you know, you know, get up further in line, secure a spot? Just curious how that's playing out.
Jake DeWitte: Yeah. It's a great question. I mean, I think, you know, what we're learning and it's been interesting is one, you know, each customer has a different, you know, I would say different things that matter to them and different tools in their toolbox accordingly. And so while we're creating like, the important thing about what we've learned and how we've adapted kind of our engagement with them, as Craig pointed to, we definitely could have jumped into signing some PPAs and probably left a lot of value for everybody on the table accordingly. Right? And so it's important for us to kinda scope out what makes the most sense for everybody through how we can structure master partnership agreement and find different ways to work with folks. And then, you know, I think the flavor of that is of that kind of prepayment or similar structures is gonna take a lot of different. Well, I'm afraid that. Have a lot of different flavors, based on what we're learning. So far. You know, everything from containment like we saw directly there to the potential for, you know, strategic investment as a possibility, if that makes sense for both parties. There's some reasons that may or may not make for all of us, of course. The possibility of, you know, sort of off-balance sheet, kinda joint venture approaches, the possibility of direct supply chain and procurement, the possibility of land lease and kind of value kind of work like that. Even even just the action in kind value of doing work, like engineering, siding, and different work like that. I mean, that's one of the things that on the Switch deal, I'm particularly excited about that I think is kind of a little bit underappreciated because, you know, it's it's it's it's a huge opportunity. I mean, twelve gigawatts is a number to get your head around. But the reality is, like, their position for all this massive, right, growth given kind of their positioning in the industry and their leadership. Especially in high-density compute. But their attention to detail and their focus on how they do design engineering for human construction, and that we we I I was captivated by that the first time I met them. And how similar I saw some of what they do is to what we do. And as a result, like, the ability to kind of I'm gonna use the term coaccelerate deployment by working with them and tapping into their engineering capabilities resource, you know, on the sort of full-stack engineering, procurement, construction side, it is really helpful for us. I mean, it's it's the preconditioning and acceleration of working with a group that's actively already building a lot of facilities that has some direct carryover, it it it can be difficult to overstate the value of that. Right? So being able to slide into some of those pieces and work towards the site is very promising and exciting. So there's a lot of in-kind value that comes off that. Doesn't show directly on the balance sheet, but helps accelerate everything across the board, you know, in that sense. So, accordingly, there's a lot of flavors and each customer has different, you know, different tools and a toolbox and a different appetite accordingly. And our view is just working with the ones that kinda help us maximize value for everybody and help us get a, you know, position to do what actually needs to get done, which is build build plans and produce power and then, you know, have them use the power. That's what we're ultimately working towards. And since there's several different initial steps that can help us get there, you know, this master power kinda and Master Power sorry. Master Power Agreement structure allows us to define that partnership structures and then iteratively grow those things. Because the more you get to know a site and a customer, the more you find that certain levers are higher impact than other levers, and so you wanna work with them to pull those accordingly. So kind of a long-winded answer, but that's how we're how we're seeing it structure out. So definitely the opportunity for that and the other type of things that have a similar kind of upside benefit.
Eric Stine: Yep. That was a great great answer. Thank you for that. And maybe just for my follow-up, just on Atomic Alchemy, you mentioned potential that we see revenues initial in the first quarter of 2026. And you mentioned the demonstration project. Could you just lay out some of the signposts to look for, you know, so we can kinda track if, in fact, you know, things are on track for that first quarter of 2026 or, you know, any of the factors that might push that out a bit?
Jake DeWitte: Yeah. So, you know, this is a fun part of the business that's gonna have a lot of upside as kind of continual illumination occurs here. From the sort of, you know, just like edification perspective. Is is that what I mean with that? I think, you know, there's a couple watch points of how that's gonna progress. Accordingly with different, you know, progress at their facility and capabilities, but build out with what they're doing out in Idaho and potentially other sites. And then also their ability to source some of these different materials and tap into that. And then couple that within if you think about what they're doing, there's a couple main major kind of points of value creation they have. Right? One is on being able to do the kind of near-term work. The other is like, you know, pull out some existing materials from other, you know, existing sort of reserves of radonucleides that are kind of untapped or like, you know, priorly used sources and radio therapy devices. Then the other is the opportunity to actually directly produce with their own reactor design and approach is very different than a power reactor. And it's very cool. To see how this stuff works. But, basically, you know, you build a reactor that main product is neutrons, and then you put materials in that reactor, absorb neutrons and turn into other elements. I mean, it literally is the alchemy, which is what's so cool about neutrons. And then and that produces incredibly high-value materials. One of the things we really like about their approach is leveraging very mature technology sets. They're not trying to build these hypergotic designs on the reactor side that give you the highest absolute performance but at a marginally massive cost, and that's something that's easy to fall into because, you know, the marginal economics, the unit economics of some of these materials are so high. Like, oh, I may as well, you know, I can pay for building out sort of this, like, Lamborghini of a reactor when really you just need, like, a Ford F-150. Maybe that's not the best analogy. Maybe better to pick a Toyota Camry, but, like, this is a simpler cheaper machine that gets you 80% of what you need, but does it, you know, involve and you can get it built a lot faster and need a lot less CapEx to get it built. So, like, that's that's another angle for potential future growth and some of the regulatory developments and milestones that come there are gonna be important. And then additionally, gonna be sort of the ability to tap into the things we're doing on the recycling side. Pull out some of the what would otherwise be byproducts and turn them into co-products from our recycling process. And then another thing that's a little bit underappreciated but goes back to the legacy of fast reactors, it's really cool. One of the plants we derive our legacy from is called the Fast Flux Test Facility in Washington state, and that actually was a is a fast reactor, setting fast reactor. A lot of similar activities to what we're doing. It was and did a lot of really cool things in terms of isotope production. And there's some unique things you can do for high-value isotope production and fast reactors. So accordingly, we expect that some of our plants that Idaho sent plant being a very good candidate for this, to have some extra flexibility baked into it to actually allow you to produce radioisotopes. They're already doing work at Idaho National Laboratory in Idaho Falls, so it's kind of a natural segue to produce additional revenue streams from that first plant. With, you know, extra production and sales from it. So, like, very, you know, kinda cool combination of different features that come together that way, but I would say, like, you know, there's gonna be updates as we go forward on the quarterly side about sort of where the progress and how that's tracking. Certain things are kind of well in sorry. Certain things are kind of in development on the sort of facility side. Other things have some regulatory permitting milestones that will kinda come forward as this kinda, you know, progress accordingly, and that'll just be a point where we fold into our normal update cadence, excuse me, cadence that we have.
Operator: The next question comes from Craig Shere from Tuohy Brothers. Your line is open.
Craig Shere: Good afternoon. Thanks for taking the questions. Did I hear correctly in response to Ryan's opening question that your 75-megawatt powerhouse would have similar nonfuel CapEx at the 50-megawatt design? And as to Eric's question, does the more scaled plant design obviously increasing, you know, fuel needs and CapEx, including fuel, does that necessitate either front-loaded customer payments and/or project equity participation if you're going to implement, you know, the faster scaled deployments? And finally, you know, not only is capital an issue in their early years of commercialization, but obviously, you know, in the first, you know, two, three years HALO fuel is in more limited supply. Any thoughts of addressing accelerated Halo requirements if you move more quickly to these upsized designs?
Jake DeWitte: Yeah. A bunch of questions. So I'll try to get through unpacking each of those accordingly. I mean, there's a bit of a higher, you know, CapEx between 50 and 75 if you go that way just because, you know, you have bigger heat exchangers, bigger turbines. So you do have an increase in the CapEx across the board there. But it's typically something that scales favorably for you. And similarly, you know, at this size range, you actually get more power per, you know, kilogram of fuel accordingly. So there's some benefits accordingly that come that way. So it gives us some more flexibility, but that yeah. And that's really just kind of margin improvement. Part of the main part of the other driver here I mean, the main driver is matching this with customers. The other benefit that happens this way is you are getting more megawatts, you know, basically for your fuel, and given that fuel supply is a constraint, this gives us the flexibility to preserve the benefits of adapting into existing supply chains and capabilities for a lot of the components right here and live within that realm and not get too bespoke. And all of the upstream and downstream effects that happen if you do that right, including needing to put a lot more CapEx in the tooling and the manufacturing and all those kinds of things. It avoids a lot of that by staying in these sizes. But also gives you that benefit of having, you know, a little bit more I'll call just economic efficiency on the fuel side. So at the end of the day, you can build more reactor or sorry. You can build more megawatts if you really say, you can build more gigawatts with less fuel accordingly. That's part of the one of the other drivers that's important here. And as for a question that comes as well, what if I need to just go to, like, hundred channel megabits? Like, we always evaluate kinda different size points, but the reality is there's a lot of inflection occurs once you get above kind of the 75-megawatt range. That starts to complicate things up and down a few months supply chain that do put a lot more cost, challenger drivers, and uncertainties in play. And so maybe in time that makes something, you know, something we'll continue to watch and see as we execute at what we're doing now to see if there's some added insights we get through execution that make those more either palatable, approachable, or, you know, want to do them. But we see a pretty, you know, favorable sweet spot that matches really well with where we see the bulk of our customer interest being at the size range. And giving us the ability to execute against that accordingly. And the thoughts about I kinda the Sorry. I feel like I kinda cut you off. Did you say that part again? I'm sorry. It was about Patrick.
Craig Shere: Yeah.
Jake DeWitte: Because you have to front-load more cash back. Obviously, it's economic, but you have to come up with the money.
Craig Bealmear: Yeah. So, Craig, it will add, you know, more front-end CapEx but, you know, similar to what we saw when you go from 15 to 50, and materials we showed at, you know, our investor day deck, but it will improve in terms of the dollars per megawatt delivered. And as Jake said, it's a much more efficient use of fuel and other things.
Operator: The next question comes from Max Hopkins from CLSA. Your line is open.
Max Hopkins: Hello. Thank you for the time. Question on fuel. I see Daniel from Centrus. He kinda led them and turned them around very well. I'm now on the board. I'll see in my talks with a lot of investors, it all comes down to fuel, it seems like, in the longer term. You guys are not part of the ARDP, but, you know, you have HALO's procured and secured. I guess, how does that look going forward with more procurement of HALO? Will it be Centra specifically that you guys need to procure with? Or can you go to other, you know, Halo providers or just straight to the DOE? I guess, how does the fuel procurement look going forward?
Jake DeWitte: Yeah. It's a great question. I mean, one of the things that's interesting and exciting about this space and this opportunity is I love that we have fuel for our first plant for many, many reasons. Really important one is it helps position us to figure out the best way to find fuel for the next plant. In a scalable way. It's one of the reasons we publicly, you know, partnered with Centrus. We're very excited that they are producing Hailey as we speak. We're very excited about what their path looks like to increase that, and we'll continue to work with them and find the ways we can help partner and accelerate accordingly on that front. We're very pleased that, you know, obviously, there's been the programs from the US government to help scale up and spin out what's happening on the Hailey side. And we see those things as all occurring. But, look, the part of the reason that these kind of partnership agreements that we sign are so important is because it helps build the order book and then help build the frameworks accordingly because everything's adapting and dynamic right now. To best accelerate the fuel side. Jumping forward with the DPA, while, you know, too soon and then the maybe you leave some opportunity on the table about how you could position the growth forward because some of these PPAs, even if it's a multi-gigawatt potential upside on the whole project or the whole partnership, you're probably gonna most likely have the PPA signed in incremental chunks as the phases go and as they sell the power in their capacity, right, on the data center side. Accordingly, you know, if you want to build the framework for sustained fuel production over twenty years, that's much more valuable to everybody than just sort of like, alright. We have this PPA. We're gonna spend a good bill for the next five to eight years. Therefore bring the order accordingly in that sense, and then having the refueling kinda hidden to go with it. Those things piece together are even more powerful than stand-alone, but building that picture out helps the enriches on capital planning helps us help build the right frameworks, help build the right kind of contract structures, and even inform the right policy levers. It's a very important thing to highlight here too that's, like, significant. First of all, I think sometimes people tend to focus. Well, a design doesn't need Halo, and that's a big benefit. That's not really that that I could. Ownership market's across the western world are pretty tight. Right? We were importing 18% of our enrichment service from Russia and that's, you know, off the table model and there's exemptions being made, of course, I understand that. But even if there's changes in that policy, this is being challenged by, you know, I should say challenged, you know, stretched by increasing demand for new plans, life extensions, restarting plans, even on just the conventional LEU side. So really the capacity for LEU is basically overbooked and so is, of course, the capacity for HALO. Now obviously, the capacity of the production of the value is much larger than the production of Hailey today. But this is a constraining challenge across the board. Now what's feature about that problem though is the demand signals are clear across the spectrum. Obviously, the hyperscalers have shown that they're not being they've been partnering the, you know, most of these announcements have come working with like, us and our peers who are doing reactors that you say, Luz. Clearly, there's something that they dig into it. They feel like these are things that help move that forward. Because it's a solvable problem. But, it's important because what all that kind of translates to then is we're simulating the supply chain for the industry across the board with these different government programs and these different sort of commercial updates. Right? Are coming together. The centrifuges that you make a centrifuge technology base to make LEU are same that you're really gonna use to make each ALU. You're gonna typically see an order book that's larger on the LEU side just given the existing fleet and the size of it. So if you spin that into a growth mode, you're gonna see significant drop in the economy scales for So all of this is a silver lining of the tightness today to significant benefits to be seen tomorrow. So, you know, I do worry about sort of the bridge between now and the early 2030s, obviously have a little bit of an ace in our up our sleeve on the recycling side. Kind of a silly way to say it, but recycling helps diversify our exposure to that massively, and that's part of why we're taking this approach. It also just massively changes the fuel utilization question in economics. It's hard to beat dropping your fuel cost, which is a big cost item in our plans by over 80%. Having that potential is pretty exciting. Not to mention all the other benefits you get from recycling, but what we see is, you know, like, there is significant opportunity and there's appetite as we see it coming together on the policy landscape for opening up reserves extra reserves fuel with the government has that can be used to bridge us to that point. One of the interesting things about that is that's actually preferentially advantageous on average to actually fast reactors. You're accommodating impurities that might exist in some of the government reserves that can't use for anything else because of impurities that don't matter to fast reactors. They're already using different, you know, sources of this material and therefore opening up totally different, you know, opportunities to basically bridge us forward. And I'll not make this be kind of as a potential sort of couple kind of finding risk dynamic that does exist today. That is going, you know, market forces will force through this and resolve it, we're pretty excited about some of the policy appetite. We've already been a beneficiary of what that looks like. We've shown that that can be a successful pathway to open up government reserves as a breathing mechanism, and we're very excited and eager to see that, you know, if the basically help drive forward. Hopefully, more of that to come that helps us and others. But there's a lot of features that actually by on purpose how we've designed our system, the features that allow us to recycle and be flexible on fuel streams are actually help us a lot if those programs get opened up because a lot we can use pretty much anything that's out there. Not everyone else can do that, and that's gonna obviously help because material that maybe others can use is not gonna be competitive for, and so it gives us good advantages in that sense. So at the end of the day, I feel like, you know, the market's moving in the right way to address this in a number of fronts for LEU and HLAU. It's a problem across the board. To just catch up on the supply there, but it's happening, which is good. I'd love to see it happen faster, obviously. But then I think there's also the bridging piece that can really help and help accelerate that happening, by the way, that ramp up on the commercial side. Because then you can go build reactors and faster because you're not feel constrained, which is gonna help you then order more fuel to build more faster after that. So you know, virtuous cycle. That's how I kinda look at that.
Max Hopkins: Thank you. Very clear.
Operator: Relations, for a couple retail questions.
Sam Doane: Thanks, Karen. Jake, Greg, we had a couple of retail questions. The first one is can you give more detail on the switch deal? And confer is this a firm or conditional, and what does that mean pro quo?
Jake DeWitte: Yeah. Happy to. So the switch deals a pretty exciting opportunity for us given the size. Right? It's immense. In terms of the magnitude of it at twelve gigawatts. Accordingly, it has conditional elements around it for sure. So it's not a firm PPA. We didn't wanna sign them a firm PPA right away around that kind of size. It's too early. It's much better to do what we did here, which is say, okay. How we're gonna work together. You know, switch around and kind of built their case and talked to several different company or company technologies and like, through what we're doing and decided they wanted to with us and partner with us to power their growth to help power their growth and their ambitions accordingly. And we also really liked working with them. You know, there's a lot of people doing work in the space so we have the benefits of being selective too, and we see, like, they are really well aligned. Big vision, about what they can do, incredibly impressive technology for high compute. I mean, it's just incredibly impressive. The guy as a technical guy, just from, like, you know, they don't have electronics and data centers, but they do have thermal hydraulics. It's just thermal fluids. And what they do is awesome and very cool. And getting to see that was pretty neat to see. And accordingly, like, that's their design approach, their attention to detail, all kind of resonated really strongly. Not to mention kind of the benefits they have in terms of their plan for scale and growth across a number of different areas. So we were pretty excited to be able to work with them and want to work with them to then frame out this big vision to say, hey. Here's where we see them the roadmap being able to go to. Here's how we're gonna start working together as we further refine and define this. So this is the stage because, you know, twelve gigawatts is it I mean, it is. It's one of, if not the largest clean power deal in the US history or in US history. And so, like, it's great to have the stage set for that, but it takes a lot of time to say, okay. How are we gonna execute against this? And instead of then spending much time to come up with, you know, this grand master plan that, at the end of the day, is only gonna be, you know, twenty percent accurate because once you start executing against it, things change. Rather, it was like, let's take this incremental piece of approach. I've kinda mastered power agreement that sets the stage of how we're gonna work together on-site being and working together in different areas in government affairs. And different aspects around public relations. And site relations, how we do site characterization and studies, how we do design scoping and sizing, we actually do site design and integration and do the engineering some of the engineering work and therefore the engineering procurement construction work accordingly. I would look at how we can overlap those things tap into what they do really well, and find ways to sort of build off of their capabilities so that there's some economic and timing benefits that way. And then use those to define how you actually move to the next stages of contract negotiation. Negotiations for firm off, I think. So this is actually really good important, and it's the right way to do things. You jump straight to this, like, firm PPA model, again, you might miss the target and get into a bunch of retraining and a bunch of renegotiation, and that's just not gonna be helpful to building out what we're actually trying to do together. Which is much more than just the transactional relationship. Right? It's much more about building very sustainable source of energy to power the future of compute and AI. So, like, that is pretty potent. So that's how we structure that. Again, like, in this from an engineering kind of co like, I I guess I'd almost call it a philosophical alignment. Like, we I saw so many parallels to what they do to what we need to do from designing a pixel last asset to then how you route the sort of bring in these prefabricated manufactured componentry and put it together and piping and wrap plumbing and write valve power. There's a lot of similarities. It's not, again, not the same same, but there's a lot of interesting similarities. So great example of what that partnership says to phase four and how we expect that to go it's also worth noting it spans a very long timeline to deploy to that. I mean, it's gonna take us a long time to to scale in twelve gigawatts. I mean, I'm excited about the opportunity, but it's not something we can just do overnight. And it's not something we can just do in five years even or even ten years. Right? That's why this fan several decades. So, anyway, that's how we frame this and scope this. And I think this is kind of the right way to put these things together to help move the ball forward. So there's much more to come here, right, as these things progress, but it's the right kind of initial steps. To move forward. And, Jake, I was kinda held that internally that, you know, with when we were talking to Switch, and I think back to the meeting that you and I and other members of our team had with Rob Roy and his team in Las Vegas, to kind of pivot us towards the master partnership agreement. Because as we were going deeper in cover situations with the switch team, we realized there was more than one avenue of partnership that we could take with them. Which is why we put that overarching frame place so we could, you know, explore different things at different points in time, you know, and try to find optimized partnership elements between, you know, what Switch is looking for in their priorities as well as, you know, both.
Sam Doane: Great. Thank you both. Last question for the day. Oklo Inc. previously faced regulatory setbacks with the NRC, rejected its application due to information gaps. Given those challenges, what specific changes or advances have you made now give you confidence in securing approval for your nuclear projects?
Jake DeWitte: Yeah. I'm not trying to just, like, you what's the word? Like, polish this or a silver lining on it. But, like, the setbacks were also very informative, like, learning points to gain a lot of information. So I knew them some of my setbacks, but more as learning opportunities and forward progress on them. Just to recap, like, you know, we submitted our combined license application the first time around for a one and a half megawatt plan out of the Idaho site. This is 2020. Right? Pre this boom in AI data centers, all these customer dynamics, and much more focused on kind of a smaller incremental piece of reactor development and deployment. Our long-term road map was always to work our way up into the sizes we're at now. Just wanna start as small as we could to reduce the total amount of capital to get built and still have a viable market. Which really works well. We've thought at that time, at that size, well, the market evolved and moved, which was good, and it's nice because we would you know, it would have been would have been the best thing for us to build a one and a half megawatt plan given where the market is today had that license progressed. But also, we took a very forward-leaning licensing approach. And, you know, she had worked with us in pre-application for four years leading up to submitting that application, including us piloting an application with them. That was very novel instruction. Structure in 2018. And that was pretty important because we wanted to try to set up a new framework and a new approach on sort of what a license application would look like. I think the tendency in if we try to license these new reactor types like large conventional light water reactors, it just doesn't really make sense. A lot of square peg round hole there's a lot of ways you need to do things differently. And so we lean into that pretty heavily, and if you lean back into that heavily, and the after they did it around of audits on our applicator, you know, pilot application in 2018 and 2019, they gave us a clear feedback there's clear feedback that they could review an application that looked like that. They gave some feedback about how to approach framing and scoping it and also took it to okay. You know, more or less, if you come in or something like that, we could find a password to do that. And just to put the numbers on it, we went in with an application that was very, very forward-leaning. Right? Very innovative. It was like, seven major sections rather than the nineteen typical chapters. It was only less than six hundred pages compared to ten of thousands, like, ten to twenty thousand pages. Very different, much more lightweight approach. In parallel to that, the NRC was doing some new things that was pretty cool. And so we were pretty excited about what they were doing. In terms of highlighting a very audit-heavy review focus rather than kind of a written question and answer approach. I mean, they're gonna do both, but do a lot more on the audits, which are much more intensive, by the way, but they move faster. Much more productive for us and for the regulators. Additionally, and that was all based on in-person audits. Right? Then additionally, they wanted to move forward just kind of doing some cool, like, you know, core team, cross-functional review team that was working together in person not in the sort of departmental technical silos that they typically would sit in. Where an application would come in and get shotgunned out, whether they would all be together across different subject matters and working together to kind of develop out their independent safety analysis review and move forward. On top of that, you know, we told them, hey. We're gonna come in, you know, very forward-leaning. We're gonna come in with a we think is a justifiable and defensible approach, but it's going to inherently be different than what we've seen before. So a very, you know, I would say optimized safety footprint and how we classified what things were safety-related and not. So it was, you know, it's very modern frankly. All that I think was great, going in 2019 and early 2020, and, unfortunately, for much bigger reasons than our application, but obviously, the world changed very substantially in March of 2020, which is when we submitted the application, literally on the day the pandemic was declared. And that completely shifted the review dynamic that we were no longer doing these in-person things. We weren't doing the same approach that we built our application for. You know, as far as we knew and we were told by the NRC at that time, we submitted the first application that had ever been submitted online. Know, and we never verified and validated that through the whole change, but I think that's pretty true. And that was in 2020. Right? It just shows you that we were really doing some new things, and they were really responding to. Ultimately, think it was all too much during an era of COVID. And that's where we got setback considerably on, I think, sort of the, okay. We can't review the application that's submitted. Given all these things. So they denied it in January two, you know, two thousand twenty-two. After, you know, a couple of months later, we're able to engage again in person with them, immediately got back into pre-application. Obviously, we updated the design to be bigger because the market had moved on us that way. We already been talking about that with the NRC, and so that gave us the platform to do that. Move fully into that, and then take an approach that allowed us to focus on sort of resolving an the open items that the NRC wanted, which mostly turned into, hey. How did you do this? What was your methodology? And then bridging our approach and how we did it sort of what they're used to seeing and, you know, what they were comfortable with. What we found was a little more time on that, you gotta burn a lot more sort of comfortable with the different approaches being taken and saying, oh, actually, you did things. It was just done in a way we're different from seeing it. But now spending time together, we see that it's done in a way that we're kinda used to. Maybe some extra, you know, then, you know, approaches on, like, if you can help answer questions that we have in these areas, that will help us progress a review, for example. You have many, many meetings that then happen from April 2022 through now sort of converge on this, to put draft out content of theapplication together, to submit different technical reports, and have meetings and have reviews on that or white papers, I should say, and then also have the topical reports coming out and then moving into readiness assessment. It gives us the chance to then move forward on all these things in time. Since when we first submitted through now and time is looking at these things, as well as how we're using them and implementing them, has actually grown a lot more convergence on the doability of some of the things we were intending to do. Obviously, there's some updates into modernization, but the lessons learned have been massive because we spent time to actually now go through those things and try to do them. A key thing that was different for us compared to other companies is we leaned into that opportunity back at the very beginning of our engagement with NRC to try to do things in an efficient way as we could see possible. And we got some bumps and bruises and scratches and all of that and black eyes accordingly. But guess what? Look at how things have progressed accordingly. And a lot of that stuff and then they're not gonna mix, but builds off of some of the things we forward. Like, some stuff we tried and put forward, maybe a bit too different or too much, so it's kinda changed. But a lot of things are finding a lot of footing in the different things the NRC has done. The last, frankly, right, almost nine years since we started working with them. Not because it's like, oh, we did all these things with our credit is. It's more, hey. We're trying to do something differently, and then others are echoing that with some time in it. And we were obviously ahead of the pack. And so as others start kind of digging in and developing their own plans in the space, then they actually look at it. It kind of all comes together in a constructive way to say, okay. Yeah. We could do something in this way more efficient and right-sized. Then you couple that with the current environment that's gone from several administrations excessively of trying to drive forward a more modernized regulatory framework and approach, to reflect these kinds of capabilities and these changes. You know, it's pretty exciting, honestly. So at the end of the day, like, you know, we've applied a lot of lessons learned. We've done a lot. Obviously, we've grown the team, hired a lot of good folks to come in and help us do this. But a lot of the things that we put forward are also finding kind of footing with some updates and tweaks with iterations on them that can, you know, can come together over the last couple of years. These things don't move super quickly, but we've invested the longest amount of time of anybody to get to the state. So we're in a really good position to go forward into seeing and the next steps thereafter. So, you know, obviously, there's a lot more work to do. But, you know, we've been very excited about how the NRC has done things. How we've been doing things. The feedback we've done has been helpful and constructive here. You know, there's some things we've kind of evolved our course on. There's things that I think NRC has as well, but at the end of the day, it's coming together to set the stage for review unless they have license and issued things for other advanced reactor types. Which are pretty important. Granted, the construction permits, or design certifications, and those aren't the same as a COLA, but all that builds on itself so that when we go in with the COL application, there's a lot that we get to stand on, and they get to stand off from a success perspective. So that's my really long answer, but it's been a journey and one that I will continue to.
Operator: I will now hand the call back to Jake DeWitte for closing remarks.
Jake DeWitte: Great. Well, thank you all so much for the time. I want to talk about the different updates and things we have going on. 2024 was a very exciting year for us for a lot of reasons. But also just a preview of what we're all really excited to go do. Something I tend to talk about internally is the broad potential that this technology has and truly unlocking, you know, the energy of reactinide that we are unfortunately blessed with, to have as this incredible energy resource that fast reactors and recycling are pretty uniquely positioned to fully tap into. So thank you for the time, and looking forward to the next one.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining, and you may now disconnect.